Operator: Welcome to Shaw Communications Fiscal 2012 Third Quarter Conference Call. Today's call will be hosted by Mr. Brad Shaw, CEO of Shaw Communications. [Operator Instructions] Before we begin, management would like to remind listeners that comments made during today's call will include forward-looking information, and there are risks that actual results could differ materially. Please refer to the company's publicly filed documents for more details on assumptions and risks. Mr. Shaw, I will now turn the call over to you.
Bradley S. Shaw: Thank you, operator, and thanks to everyone for joining us today to discuss our third quarter results for fiscal 2012. With me today are members of the senior management team, including Peter Bissonnette, President; Steve Wilson, Chief Financial Officer; Jay Mehr, Senior Vice President of Operations; Jean Brazeau, Senior Vice President of Regulatory; Michael D'Avella, Senior Vice President of Planning; Paul Robertson, President of Shaw Media; and Jim Cummins, Group Vice President, Shaw Satellite Operations. Earlier today, we released our Q3 results, and I'll make some brief remarks before we open the call for questions. We believe that results are consistent with the messages we delivered back in April. During the quarter, we focused on discipline, sustainable and profitable customer initiatives. And our Q3 financial performance reflects improvements, in line with our strategic approach regarding operational activities. We delivered on our commitment to reduce our cable cost structure, and our cable EBITDA margin for the 3-month period improved by 370 basis points to 47.5% compared to a quarter ago. Our free cash flow was over $200 million in Q3, and year-to-date free cash flow from our consolidated assets totals almost $380 million. We continue to make good progress on our strategic priorities and investments, including our Wi-Fi and DNU projects. Our network is a strategic and differentiated advantage, and we continue to make the necessary investments to ensure that this position of leadership is maintained and enhanced. Our broadband product is superior to competitive alternatives, and this represents the foundation for our future success within our Residential Consumer business. Wi-Fi continues to gain attention and credibility regarding its role within the wireless broadband ecosystem, and we are pleased with the results of our network at this stage of the build. Going forward, as additional scale is created, we will begin to actively market this additional Wi-Fi service to Shaw customers. Our improved user interface, DreamGallery, is currently being tested in 2 markets. And this will be widely deployed by the end of this year. This software is backwards-compatible with approximately 700,000 boxes we currently have deployed across our footprint. We believe this new and modern approach to our guide will be embraced by a large number of our existing customers. Our Media business continues to be resilient even as the advertising market remains weak. Our portfolio of specialty channels continues to outperform, and our media team has done an exceptional job in proactively reducing costs. Shaw Direct continued to generate attractive amounts of free cash flow, and we recently have announced the strategic partnership with Xplornet and a new VOD service utilizing adaptive streaming technology. Both of these should create incremental revenue opportunities going forward. Our activities are focused on improving the long-term profitability of our assets, and we will continue to implement cost savings, execute on operational efficiencies and prudently manage our capital investments. We remain confident about the free cash profile of our consolidated assets, and we believe our operating focus is the right strategy to create long-term value for all of our stakeholders. Thanks to everyone for joining us today. And operator, you can open up the phone for questions, please.
Operator: [Operator Instructions] Our first question comes from Phillip Huang from USB (sic) [UBS].
Phillip Huang: Just wanted to -- first, I just wanted to clarify were there one-time type of drivers that impacted your Internet subscriber loss this quarter aside from your pull-back promos and also the ongoing competitive intensity? And then I have a follow-up.
Jay Mehr: Phillip, it's Jay. I don't think there's anything that you would consider to be a one-time driver in the Internet numbers.
Bradley S. Shaw: Yes, I think so. But just goes to our focus in our disciplined approach to the market, and it's reflective in that. As we said, we're focused on the long term. And this is not a chase for numbers to the quarter end. And everything we're doing is tactically in regards to creating long-term value and maintaining our base. So I think you're somewhat seeing that, reflective in that.
Jay Mehr: And just building on what Brad is saying, the -- I think to the extent that there is a one-time factor, there likely was a pull forward in Q2 effect just with the level of aggressiveness that we had in our office in Q2. And I think you've probably seen some of that happen there.
Phillip Huang: Right, okay. And it looks you guys have started to use a little bit more pricing promotions beginning in June to protect your cable subscriber market share. And I believe this has already triggered a competitive response from Telus in terms of win-back offers. And our concern is, things -- that things could spiral into a price war, which obviously would be a lose-lose situation that you may be impacted a little bit more than Telus, given the mix of the business. Just wondering how you guys think about such risks in your marketing promotions, decisions and also how we should think about any potential impact on margins from these new promos, if at all.
Bradley S. Shaw: Phillip I'll start it and maybe Jay will add something. I think you if look at it over the last 6 or 7 quarters, there's always been a tendency near the end of the quarter for a push. And I think it's no similar than what we're seeing from Telus right now, and their push to the end of the quarter. So I don't think it's anything out of the normal. But we've been, as you talk about the promotions in the market, we've been very disciplined in that regard. And I think in that -- and the benefit of that is it's showing where the numbers are.
Jay Mehr: Yes, if we can build on that again. Certainly, if you look at a macro level at our financial results and subscriber numbers released today, it's pretty good evidence that we weren't overly aggressive in Q3. And if you look, I could tell you June is telling a similar story with everything we see in terms of our financials, revenue and customer story. So I mean, we certainly understand the narrative that we did some targeted promotions at the end of the quarter. And our primary competitors responded with some aggressive promotion at the end of their quarter. But it's -- as we move through the summer, we were moving aggressive targeted offers for the marketplace. We're focused both in mass and in targeted offers, and as Brad said, prudent discipline and sustainable customer profitability.
Bradley S. Shaw: Yes. And I'd like to add to that is that you do see some signs of pricing changing for Telus. But the promotions are still aggressive in doing that. And there is positive signs in the right direction. But listen, it's a highly competitive environment and will continue to be that way. And we're going to operate in a certain fashion.
Phillip Huang: So I guess, just to clarify, by your focus on long-term profitability of the assets, obviously, market share -- maintaining your market share in the near term is still obviously very important to you guys.
Bradley S. Shaw: Absolutely.
Operator: The next question comes from Vince Valentini from TD Securities.
Vince Valentini: Wondering there's only a couple of months left in this fiscal year. If you can give us any preliminary look into CapEx for next year with the DNU and Wi-Fi and anything else you may be working on with the set-top box subsidies, do you expect any change of note in your capital spending or pretty much similar to what we're seeing this year?
Bradley S. Shaw: I'd say for next year, Vince, that you'll see a CapEx intensity ratio that will be roughly the same this year. There are a number of strategic initiatives like the Wi-Fi build, the completion of DNU. We've got some infrastructure that we've got under construction. We've got technology transformation that's important for our flexibility and going forward in our business to be able to respond. And so those things will carry through into next year. And so I -- we don't see it moderating to a great degree in next year. 2014 is really too early to comment.
Operator: The next question comes from Jeff Fan from Scotia Capital.
Jeffrey Fan: I want to go back to the Internet response. Brad, I mean, you alluded earlier that, that you believe there's a network advantage here for Shaw on the broadband side. So what happened in the quarter? Like are we not -- can we not try to take advantage of some of those advantages to drive that Internet numbers higher? I understand you were -- you guys were certainly very disciplined in the quarter. You didn't want to go through pricing. But what about from a marketing standpoint and driving that advantage further to show some better Internet subscriber trends?
Bradley S. Shaw: Yes. I'll say a couple of things and maybe the guys will add in. I think we're certainly seeing a lot of activity as customers move up in Internet packages, so we're very pleased with that. We're very pleased that we continue to see our ARPU move up and will in the future because if we look at even pricing in Western Canada and the Eastern Canada, there's certainly some significant differences. As you mentioned, Jeff, it is creating long-term value in that focus. And I think when you look at some of the key initiatives, as we continue to rollout, we've really done very little on Wi-Fi in promotion and marketing,it's still about scaling. The DNU is still in process in doing that. And we've taken initiative that bandwidth and data usage will catch up with us, and you can certainly see that where that's going. But ultimately, we certainly know how important broadband is in the bundle and how -- being the highest margin for us, we believe that as we get Wi-Fi it helps churn, gives us pricing power and let alone some of the advantages of Wi-Fi. But we certainly think those -- it's the right approach. And -- but as we've said before, it's maintaining the base and focusing on that. And as we get these projects get fully flushed out and I guess fully built out, we can really allow ourselves to see those advantages and more often. And the one thing I would also say is, when you look at the U.S. and as pricing has come up from a competitive point of view in the broadband world, there tended to be a choice -- a consumer choice now of what you're picking versus over price. And cable has tended to be that choice in the U.S. So early indication and certainly from a product base of what cable offers, and our infrastructure advantage is something that we're going to continue to build on and continue to focus on in what we're doing.
Jeffrey Fan: Can you give us a little bit of -- some color on the breakdown of your Internet subscribers into some of the key buckets, maybe higher tiers versus lower tier speeds, just to give us a starting point as to where you are?
Bradley S. Shaw: We've never really been keen on doing that because for competitive reasons, as you can well imagine. But clearly, what we're experiencing is moving from light services to higher speed services is having a positive impact on the ARPU of our Internet services, and so that is a fact. Without growing the pie, the -- our customers are clearly moving up to a much more compelling Internet service. And I think that Wi-Fi will also solidify that trend.
Operator: The next question comes from Glen Campbell from Merrill Lynch.
Glen Campbell: You did a little better on the revenue line in cable than you indicated last quarter, so it seems like there was maybe less reprice pressure reflected in this quarter's numbers than we'd been expecting. Could you talk a little bit about how much sort of late reprice risk there might be based on your current tariffs? In other words, if people were to move on to current pricing, how much of a revenue hit could there be relative to the current run rate?
Jay Mehr: Sure. Glen, it's Jay. The -- yes, I think it's fair to say we were pleased as the quarter unfolded that revenue did come in a little bit higher than we thought it was coming in. And after some successive months of revenue declines, we're certainly much more enjoying successive months of revenue inclines. We don't -- we think the pricing structure is in good shape. We think the disciplined and prudent approach that we're taking is showing excellent results from ARPU. Our EXO bundles have been great in acquisition and aren't causing repricing in the base. So there's no -- there's clearly no hockey stick in the cable revenue line. But I think we're pretty confident with this stable, steady trend that we've seen in the last couple of months.
Jeffrey Fan: Just to clarify, you're not seeing sort of a flow of customers calling in and adjusting their packaging in a way that would bring revenue down for those customers.
Jay Mehr: No. We're seeing a really nice trend [indiscernible].
Glen Campbell: Okay, that's great. And my follow-up was on service contracts. You've been pretty firm in not using them. Your competitor clearly does. I mean, you use the hardware contracts instead. I mean, can you talk about the reasons for not going down the service contract road and whether you might reconsider that position?
Bradley S. Shaw: Well, there's arguments for contracts as you -- I guess, it's really what these contracts do. As you said, we have equipment. Our [indiscernible] space -- our Easy Own plan certainly is a very consumer-friendly plan as customers are getting something, and they're agreeing to pay for it over time. And that creates kind of a natural kind of a relationship. What we don't want to have happen is having customers, who are feeling confined by a contract, who otherwise would like to do something else. We don't think that's consumer-friendly. And so we're looking at ways that we'd have more consumer-friendly kind of relationships but that still create some kind of a longer-term relationship that you can count on. But we don't want to have the ball and chain kind of contracts that others have adopted.
Glen Campbell: So if I can paraphrase, I mean you are looking at options there. There might be contracts but you don't want to go down the -- we might see changes but not the traditional lock-in over 3 years.
Bradley S. Shaw: As Peter said, from a customer point of view. But also, the nature of contracts is there needs to be an enticement to get the customer sign a contract, and that enticement tends to be what we're seeing in the market, which is fairly significant giveaways of hardware and other devices to be able to incent that. And so it will have has an impact on your cost of acquisition, and we're trying to manage that. As Peter said, our Easy Own program is a very customer-friendly way for people to come on and make a commitment to us. And at the end of the period, they own their equipment. They haven't had to pay upfront, and so it's a nice way to manage that without being heavy-handed.
Operator: The next question comes from Rob Goff of Byron Capital Markets.
Robert Goff: You mentioned in your release the first store in Calgary. Is this part of the more ambitious program of introducing more retail points of presence?
Bradley S. Shaw: Rob, I'd say we were slowly increasing our points of presence, but there is no big strategy here to open hundreds of stores. We just feel we need more of presence in the communities we serve. And so we're taking an approach where we're mainly focused on the big centers right now but nothing to the numbers that would be significant.
Robert Goff: And if I could dive back into the pricing questions that -- with a bit of a different twist. We tend to talk about promotions quite a bit. Could you talk about the pricing environment for the established base or for the legacy subscribers?
Bradley S. Shaw: Sure. As I mentioned before, we've seen some positive signs recently at the beginning of May, where Telus has increased different -- pretty well mostly wireline products, I would think, in different degrees. So certainly, a positive sign. But as I mentioned, they're still very aggressive on the promotions and continue to be that way. But we take it as certainly a more disciplined approach in some way.
Jay Mehr: And as Brad said that indicated the pricing in the east is fairly greater than in the west, and so we still believe that we have some good pricing power when discipline really comes back into this market.
Operator: The next question comes from Drew McReynolds from RBC Capital Markets.
Drew McReynolds: Just 2 questions. First, a follow-up on the Internet side, I noticed positive net adds of standalone Internet subs in the quarter. It seems to be -- maybe a little bit of seasonality because there was positive last Q3. So I was just wondering if that is the case. And if so, why? Alternatively, maybe you can put the positive net adds within the context of overall losses on Internet. And then just a second question on satellite, if I can. You seem to have certainly a lot of interesting initiatives under way with Xplornet and VOD, and of course, the new satellite coming on stream. Just wondering, when you look in the fiscal 2013, do you expect these initiatives primarily be retention-driven? Or do you expect a little bit more on the revenue and subscriber growth side?
Bradley S. Shaw: Okay, Drew. Jay will take the Internet question. The -- yes, I mean, we've certainly seen some positive net adds in terms of Internet standalone. I am not sure it's enough to declare a seasonal trend. I think one of the things that is clear is we're absolutely open for business, for our customers who want to take Internet and Internet and phone from us without video. And in the past, our pricing packages have not necessarily been favorable to that. So to the extent that we're growing our Internet and voice customer -- great margin customer, delighted to have them. And so you may see some of that. It's kind -- I recognized the kind that goes against some of the forces with the bundle in the triple play. So it's hard to see how that balances though but we were certainly pleased with the positive results in that area.
Jay Mehr: And we've also seen some positive net adds in the business side as well in the Internet space.
Jim Cummins: Drew, it's Jim. The team has been really busy. We certainly enjoy the partnership that we established with Xplornet. And a lot of the features that we launched is really, number one, it's retention of the base. These are services that the customers are asking for. And you can imagine a rural market, things like full-streaming VOD have the access to the great content that Shaw has. Whether it's free content on there or new content or the library content, it's pretty compelling in a rural market. So we look at it as a retention first. And certainly over time, once we get these things rolling in place, it's a pretty compelling offer that we can take anywhere in Canada, with now not just video but you also have an Internet partnership, which is what customers are asking for. And you throw in VOD and then some of the services as we move forward with HD guide and the Anik G1 satellite, which brings a lot of HD content and other pay-per-view content directly to our customers' home. And certainly, in rural market, it's -- I think, over time, it's certainly going to help our growth financially. But certainly, on the retention side, customers are going to be satisfied. And we'll just keep providing that great customer service experience.
Drew McReynolds: And if I can just have a follow-up there, Jim, that's great. From a CapEx perspective, obviously, acknowledging launching satellite is lumpy. But overall, is there any changing dynamic in terms of the free cash flow of the business?
Jim Cummins: Well, there's a couple -- when you launch a new satellite, there's certainly a couple, one-time financial hits there and the groundwork that it takes. I think our team has done an incredible job preparing for the launch of this. And we've got the 3 loc LNBs [ph] out there, which is positive, and the MPEG 4 receivers. And connecting broadband is certainly really positive. So at the end of the day, there is a cost associated to that, but we certainly have planned and have it covered.
Operator: The next question comes from Greg MacDonald from Macquarie Securities.
Gregory W. MacDonald: Wondering if you could remind us of the build-out plan for the Wi-Fi networks. I'm not asking for commercial rollout schedules. I know you're not going to tell me that, but I'm thinking more in lines of readiness for commerciality. In other words, when are you able to mass-market that network as a differentiator for your broadband product?
Bradley S. Shaw: Greg, just a couple of things. One, we're early stages. We're building out. We're working on scaling and doing a variety of things, working in a variety of verticals.  And I would say across Western Canada we're working with a variety of municipalities on getting access and doing that. So all those things are in play. So I think, as we go along here, you're going to continue to see us scale. And as we hit the fall and early in the new year, we'll start to promote that. But we're -- this is a multi-year commitment, a multi-year build. And some of those factors will depend on how well we can get in there and how fast and in doing that, so you have some flex in that regard. But 3 years out, we certainly -- 2 to 3 years as we go in here, we'll start to give a substantial coverage, and then you'll see us promote from there.
Gregory W. MacDonald: And I have just a quick follow-up on that, is part of the readiness for commerciality a function of things like the ability to hand off from one cell site to another? Or just like is a -- is a general coverage for rudimentary Wi-Fi service for tablets, is that good enough to get you in the game?
Bradley S. Shaw: Well, it's a mesh network we're launching, so every point hands off to the other one, the Cisco network. So in doing that -- so it's what you said, coverage is really the key and ensuring we get in those spots where lots of people congregate. And then from there, we go to the businesses which we're doing. So we feel we have the right approach in doing that. And it's simple as providing that service in those speeds that emulates the home so...
Gregory W. MacDonald: And just final question, are you aware -- I mean, I've followed what's been going on in the U.S., but there are opportunities that you guys probably see that are more than what we see. Are there any situations in the U.S. where this type of service add-on as a product is having a material impact on subscriber growth?
Bradley S. Shaw: Well, I think you're seeing -- looking at the U.S. and they're just starting the consortium has been joined down there. I think Cablevision has been a leader there. And I think you know what position they're in. I think they've certainly seen the benefits, but they're in a maturing spot also. But with that consortium, we're really excited because we really think, as we participate in that, that our customers would love to roam free in Western United States and have that opportunity just as some of the U.S. cable people coming up here. Our customers have that opportunity. So early days, we're working through all those things and that type of thing. But it's part of our focus is ensure that we have Wi-Fi roaming agreement across North America.
Operator: The next question comes from Matt Niknam from Goldman Sachs.
Matthew Niknam: Two, if I could. One, on the cable side. If you can help us think through how much of the sequential pressure in cable RGU volumes this quarter was driven by weaker gross adds versus higher churn? And then secondly, on the media side, you talked about advertising pressure in the quarter, specifically on the conventional side. Can you give us some more color on which verticals you saw driving the pressure and whether you've seen any real change in trend, thus far, in June?
Jay Mehr: Sure. Matt, it's Jay. I'll take the first one. The -- certainly, the difference in our RGU train or RGU trend is in the gross add area. And I think as you've heard from our comments, it's by design. We haven't seen material uptake in churn.
Paul W. Robertson: It's Paul here. On the add side, we saw -- we did see some variation between the verticals, but I can't say that there were any dramatic trends there. What we do know is that we're up against some pretty tough year ago comps in the quarter. In fact, there was a -- it was a -- there was a federal election that drove a lot of the party spending in the year ago numbers. So -- and that tends to go to conventional. So I think as you compare year-over-year, it was a more challenging quarter for the industry as it related to conventional television. And perhaps the change in trend was just a bit more related to what was up against the year ago. In terms of the outlook, I mean, we don't know much more than our own pacing at this stage. And what we're seeing is continued strength on the specialty side. And on the conventional side, we've kind of seen an uptick over the last 5 or 6 weeks. So we expect this summer to show probably a similar trend to what we've seen on the year, which is growth on specialty and some decline on conventional. And so I guess, I'd expect more of the same in the fourth quarter.
Operator: The next question comes from Maher Yaghi from Desjardins Capital Markets.
Maher Yaghi: I just wanted to ask you about your TV Everywhere initiative. Can you give us a status on its deployment? It's -- your initial view on -- it's impact on your customer churn and any revenue upside  that you could get from it.
Bradley S. Shaw: Our TV Everywhere initiative is under active development. We're going to take an approach that essentially seeks to provide value to our customers. It'll be an authenticated approach in the sense that they have to have a subscription to cable, obviously, and a subscription to the channel that provides a certain level of content. It will vary depending on which programming service is being offered. Rights are being acquired, for example, across the board for broadband and tablets and other mobile devices or other types of smartphones, whatever the customer wants. Our success today is in terms of providing On Demand Services. It demonstrates the value of having -- for example, the Global TV series is available pretty much 24 hours after they've aired the CTV series or whatever. So there's clearly value there from a customer point of view. I don't think we're going to do anything here that creates a massive competitor, if you will, to the established TV ecosystem that protects both the revenue streams of the VDUs, as well as the revenue streams of the programmers.
Maher Yaghi: Okay. Can you comment a little bit about the churn? Are you seeing any impact on churn for customers that are using the service?
Jay Mehr: Well, what we can say is, it's a very, very effective retention tool. I mean, when you offer customers broadband access or HD content and it's over the set top or over a broadband connection to premium movie services, whether they're HBO services or Movie Central or whatever or even some of the more common services that we carry like History Television, not that History Television is a common service, it's an outstanding service. Yes, it has tremendous value for the customers' use of the consumption of VOD -- of free VOD, that's related to a specific service and authenticated through the BDU has great retention value. I mean we believed in it for years.
Paul W. Robertson: Yes. And when we talk about some of the new features that we will be launching that Jay mentioned on DreamGallery, that effectively -- because it's backward-compatible to those 700,000 boxes, that effectively provides them with a network PVR capability because the VOD provides the storage, if you will, of those kind of prime time programming. And so that clearly would provide a degree of retention as well.
Operator: There are no further questions at this time. Please continue.
Bradley S. Shaw: Thank you, operator. We'll see everyone next time.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your lines, and have a great day.